Operator: Good morning ladies and gentlemen and welcome to the Cross Country Healthcare conference call for the third quarter of 2014. This call is being simultaneously webcast live. A replay of this call will also be available until November 20, 2014 and can be accessed either on the company’s website or by dialing 800-395-7443 for domestic calls and 203-369-3271 for international calls, and by entering the passcode of 2014. I will now turn the call over to Bill Burns, Cross Country Healthcare’s Chief Financial Officer. Please go ahead, sir.
William Burns: Thank you and good morning everyone. With me today is our Chief Executive Officer, Bill Grubbs. This call will include a discussion of third quarter results as disclosed in our press release, and will also include a discussion of our financial outlook for the fourth quarter of 2014. After our prepared remarks, you will have an opportunity to ask questions. I’d like to remind everyone that the press release is also available on our website at www.crosscountryhealthcare.com. Before we begin, we need to remind you that certain statements made on this call may constitute forward-looking statements. As noted in our press release, forward-looking statements can vary materially from actual results and are subject to known and unknown risks, uncertainties and other factors, including those contained in the company’s 2013 annual report on Form 10-K and quarterly reports on Form 10-Q, as well as in filings with the SEC. I would encourage all of you to review the risk factors listed in these documents. The company undertakes no obligation to update any of its forward-looking statements. Also, comments during this teleconference reference non-GAAP financial measures. Such non-GAAP financial measures are provided as additional information and should not be considered substitutes for or superior to financial measures calculated in accordance with U.S. GAAP. More information related to these non-GAAP financial measures is contained in our press release. Before I turn the call over to Bill, we want to remind everyone that this is the first quarter to include the results of the MSN acquisition, which closed at the end of June. In order to facilitate a better understanding of underlying trends, we may refer to pro forma information on this call, giving effect to acquisitions as though they were included in the prior period results. Lastly, results below adjusted EBITDA continue to include unusual or non-recurring items that impact our pre-tax and net income from continuing operations. These items by their nature will continue to make it difficult to provide guidance on EPS. I’ll touch on these items later in the call. With that, I’ll now turn it over to our CEO, Bill Grubbs.
William Grubbs: Thank you Bill, and thank you everyone for joining us this morning. I’m pleased to report a strong third quarter. Over the five quarters that I have been CEO, there’s been lots of changes. We’ve significantly strengthened the management team, invested in recruitment and sales, revamped our workforce solutions offerings, restructured the sales and account management processes, and made two strategic acquisitions. All of those efforts are now starting to pay off. Overall, we had strong revenue growth for the quarter with pro forma year-over-year revenue growth at 7%. We also had improved profitability with our adjusted EBITDA margin at 3.5%, which was at the high end of our guidance and up from 2.7% last quarter. This performance was predominantly due to strong results from our nurse and allied segment, which showed strong pro forma year-over-year revenue growth in the quarter of 12%. This growth, however, was partly offset by weak performance in our physician staffing and other human capital segments. We saw strong year-over-year growth in all lines of businesses within nurse and allied staffing, which include allied branch and travel nursing. I’m particularly pleased with the growth in travel nursing on a pro forma basis of 22%. In our nurse and allied business, which represented 78% of our total revenue, we saw increasing demand for our services throughout the quarter as well as growth in the number of healthcare professionals on assignment. At the end of October, our nurse and allied orders were at the highest levels since December 2001. In order to respond to this demand, we have hired additional recruiters and made incremental investments in candidate attraction, which has resulted in a year-over-year increase of approximately 80% in nurse and allied applications in the third quarter. That’s excluding MSN – we’re still on different systems, so I don’t have consolidated metrics in all areas yet, but it’s kind of indicative of the direction things are moving. In addition, our larger national footprint of branch offices is giving us access to additional nurses to support these initiatives. Based on these demand trends, we do expect to see year-over-year growth in the fourth quarter as well. If demand stays at these levels, we expect to see pricing improvements as the market becomes more supply constrained. Although not in our numbers yet and certainly not across the board, we are starting to see some of that already. In our physician business, we had a decline in revenue year-over-year. While it was about what we expected, it’s certainly not where we need to be. We made a leadership change in our physician business in June and we’ve implemented several changes to get this business back on track. These changes took effect in early September, so we don’t expect to see significant improvement for a couple of quarters. In our other human capital segment, revenue was essentially flat year-over-year and down 1% sequentially; however, both the search and education businesses are showing signs of stability and improvement. I expect both of these businesses to have improved performance in the fourth quarter. Our workforce management solutions continue to show good progress. Specifically, we saw increasing demand for our managed service programs throughout the quarter. This now accounts for approximately 27% of our overall business and 35% of our nurse and allied segment. We’ve had very good success at expanding the services at our existing MSPs as well as getting revenue synergies with Cross Country filling positions at the MSN MSPs and vice versa, even though the two businesses are on different technology platforms. Once we integrate them from a technology perspective, we expect to cross-fill even more orders. Year-to-date through October, we’ve won eight new MSPs, two of them quite large, and we expect to win one or two more before year-end. It’s clear that the investments we made late last year are starting to pay off. The integration of MSN is going very well. I’m very proud of our staff and would like to publicly thank them here for continuing to service our customers with quality healthcare professionals. Integrations can be very disruptive, but the team has done a great job staying focused. In addition to continuing to operate efficiently, we’re also on track to achieve the expected $12 million to $14 million of synergies from the acquisition. Bill Burns will discuss that later in the call. So overall, I’m pleased that we’ve executed well on our organic growth initiatives as well as the integration and returned the company to revenue growth and improved profitability. While we still have work to do in our physician staffing and other human capital segments, we expect Cross Country Healthcare’s fourth quarter to show organic year-over-year revenue growth of 8 to 11%. With this anticipated revenue growth and the realization of cost synergies, we expect to produce another increase to our adjusted EBITDA margin to between 3.5 and 4%. This will put us well on the way to achieving our targeted adjusted EBITDA margin of 8% in the next two to three years. Let me turn it over to Bill Burns to go into the numbers in more detail.
William Burns: Thanks, Bill. Let me first review the consolidated results for the quarter. Turning first to revenue, total revenue for the quarter was $188.9 million, up 75% from the prior year and up 54% sequentially. On a pro forma basis, revenue for the quarter was up 7% from the prior year and 2% sequentially, in line with our expectations. As Bill mentioned, both the year-over-year and sequential growth was driven by robust demand in our largest segment, nurse and allied. Gross profit margin for the quarter was 25%, down 110 basis points from the prior year and 140 basis points sequentially. Gross profit margin was lower for several reasons, including the reset of payroll taxes on MSN healthcare professionals as they transition to our legal entity during the quarter, as well as a lower gross profit margin realized in our physician staffing business that I’ll touch on in a few moments. Moving down the income statement, SG&A for the quarter was $40.9 million, up 60% on a year-over-year basis and 40% sequentially, primarily due to the impact of the MSN acquisition and to a lesser extent the Allied acquisition for the year-over-year. As a percent of revenue, SG&A was 21.6%, down nearly 200 basis points both year-over-year and sequentially. Throughout the quarter, we continued to manage costs carefully to improve the operating leverage across our business. In addition, we estimate that we realized approximately $2 million of cost synergies related to the MSN acquisition in the third quarter. Adjusted EBITDA was $6.6 million, representing a 3.5% adjusted EBITDA margin which was at the high end of our expected range of 3 to 3.5%. Interest expense was $1.8 million, up over the prior year and sequentially, reflecting the additional interest associated with our subordinated debt used to fund the acquisition of MSN. As I mentioned at the start of the call, there are several unusual non-recurring items which impacted our pre-tax results that I’d like to call out. First was a non-cash charge of $7.3 million related to the change in the fair value of the embedded derivative from the convertible notes issued in connection with the MSN acquisition. The most significant factor impacting the change in valuation was the increase in our share price over the quarter. Each dollar of movement in our share price is expected to result in approximately a $3 million change in the valuation going forward. Also impacting our pre-tax income were acquisition and integration-related charges of $2.4 million for the quarter, primarily related to severance and other exit costs associated with the MSN acquisition. Excluding the impact from these two items would have resulted in positive pre-tax income for the quarter. Income tax expense for the quarter was a provision of $200,000, reflecting the impact from continued amortization of indefinite lived assets for tax purposes. Tax expense was partly offset by the benefit from the release of reserves of approximately $1.5 million due to the expiration of statutes of limitations during the quarter. Loss from continuing operations net of tax was approximately $7.5 million or $0.24 per share as compared to income from continuing operations in the prior year of $1.5 million or $0.05 per share. Excluding the impact from the change in the value of the embedded derivative and the acquisition and integration charges, our EPS would have been $0.31 higher for the quarter or about $0.07 per share. Let me next review the results for our three business segments. As we mentioned at the end of the second quarter, we expected sequential revenue growth on a pro forma consolidated basis of between 1 and 3%, driven entirely by our nurse and allied segment with both our physician staffing and other human capital segment remaining essentially flat, and this was what we saw for the quarter. Revenue for our nurse and allied segment was $147.5 million for the third quarter up 125% year-over-year and 79% sequentially. On a pro forma basis, segment revenue was up 12% from the prior year and 3% sequentially. We averaged 6,396 field FTEs for the quarter, up 185% from the prior year and 101% sequentially. Revenue per FTE per day was $251, which was lower both year-over-year and sequentially due to the mix of skills from the MSN acquisition. Total segment contribution income for the quarter was $12.6 million, representing an 8.5% contribution margin, up 90 basis points from the prior year and up 50 basis points sequentially. Turning next to our physician staffing segment, revenue for this segment was $32.3 million in the third quarter, down 3% from the prior year and up 5% sequentially. The year-over-year decline was entirely due to lower volume and was partly offset by the inclusion of MSN staffing business in the third quarter. On a pro forma basis, revenue would have been down 9% year-over-year and 1% sequentially, again due entirely to volume of days filled. Segment contribution income for the third quarter was $1.5 million, representing a 4.6% contribution margin, down 210 basis points from the prior year and 150 basis points sequentially. The year-over-year and sequential margin decline was primarily attributable to lower volume and higher professional liability expenses in the quarter. Finally, revenue for the other human capital segment was $9.1 million, essentially flat with the prior year and down 1% sequentially. The modest sequential decline was due to fewer seminars and was partly offset by higher revenue from our search business. Other human capital reported a small contribution loss for the third quarter of $55,000 as compared with $55,000 of income in the prior year and a loss of $232,000 in the prior quarter. Turning to cash, we ended the quarter with $7.7 million of cash and cash equivalents, $58.1 million of debt excluding the non-cash change in the fair value of the derivative of $7.3 million, and a current ratio of 2 to 1. Days sales outstanding was 52 days, which was three days higher than the prior year and the same as the prior quarter. The year-over-year increase in DSO was primarily attributable to the timing of receipts and the impact of sequential growth throughout the quarter. Net cash provided by operations was $2.5 million, reflecting the higher DSO as well as the impact of disbursements related to acquisition and integration costs of approximately $1 million. Capital expenditures totaled approximately $900,000. This brings me to our guidance. For the fourth quarter, we expect consolidated revenue to be in the $187 million to $192 million range. On a pro forma basis, this range assumes a year-over-year growth rate of 8 to 11% and a sequential growth rate of minus-1 to plus-2%. While we don’t provide specific guidance for segments, we expect that the year-over-year growth will come from our nurse and allied segment which is expected to grow in the low double-digit range. Physician staffing is expected to decline in the low to mid-single digits, and other human capital is expected to grow in the low single digits. Consolidated gross profit is expected to be between 25.7 and 26.2%, which represents a 75 to 125 basis point sequential improvement. Lastly, adjusted EBITDA margin is expected to be between 3.5 and 4%, reflecting the trends experienced in our combined business, as well as the impact of achieving incremental synergies in the fourth quarter. As previously mentioned, we realized approximately $2 million of the cost synergies expected from the MSN acquisition and have clear action plans to achieve the rest over the next couple quarters. We continue to expect total cost synergies of between $12 million and $14 million, as we’ve outlined previously. This concludes our prepared remarks, and at this point I’d like to open up the lines for questions. Operator?
Operator: [Operator instructions] Our first question is from Tobey Summer with SunTrust. Go ahead, your line is open.
Tobey Summer – SunTrust: Thank you very much. I wanted to start out by asking you on your kind of general comments on the pricing environment, particularly in travel nursing, and how you think you’re able to harness that; and if you could also make a comment on pricing within the MSP business, that’d be great.
William Grubbs: Yes, pricing for nurse and allied overall was up 3% year-over-year in the quarter, and we kept about half of that for ourselves. We had to give about half of that back to the nurses, so we’re still getting expanded bill-pay spread and we’re not giving away all the price increases. We are seeing that our MSPs are the first ones to recognize the need for increase in pricing, and that’s mostly based on the relationship. We obviously work with them a lot closer than our general customers and have those conversations on a regular basis, so we are seeing some improvement. To me, the 3% is kind of normal pricing increase. I think if the demand stays as high as it is, we’ll see a little bit better than that going forward.
Tobey Summer – SunTrust: Thank you. In light of the better EBITDA margin performance not only in the quarter but in guidance, is a higher target for the exit in 2015 reasonable, and if so, how are you thinking about that now?
William Grubbs: Well, we originally said we would be north of 5% adjusted EBITDA margin by the fourth quarter of 2015. I think at this point, I don’t think we’re ready to change that data point. We are looking at the possibility of giving full-year guidance when we give our fourth quarter results. We’re not 100% sure we’re going to do that yet – I want to make sure I have the right controls and the right processes in place and have a comfort level that we’re able to forecast better than we have historically. So right now, we’re not ready to change that, but we may be able to give more clarity after the fourth quarter.
Tobey Summer – SunTrust: Right. I guess not a lot of companies in the space do that.
William Grubbs: No, they don’t.
Tobey Summer – SunTrust: I’m curious on the physician – in locum tenens, that’s been kind of an inconsistent performer industry-wide for a while. I’m wondering if you have been able to better diagnose why that is, and therefore based on your diagnosis, what should we look for as signs of a turn?
William Grubbs: Let me start at the beginning. So yes, we have been able to diagnose it, and we have been underperforming; but let me say first of all, it’s a good, strong business. We have good customer relationships and we do deliver our services very well. This was not about our capabilities of finding locum tenens or being able to make placements, or even our relationship with our customers. This was a business model issue – we just did not have a scalable model. We had a very old fashioned business model that did not allow us to redirect resources and grow as we saw the market growing, so we’ve adjusted that. That didn’t happen until September 1. That model has now been in place for a couple of months. I’m pleased with the progress that it’s making, but they need to get that a little bit more settled down and work out the kinks in order for us to start to see improvement. We have better metrics today than we used on our open days and booked days and invoice days, so I think we’re going to get better visibility going forward. Now that we have a new business model, there’s more accountability on making sure that orders and metrics get put into the system. So I’m not sure what you—you won’t see anything, I don’t think, until a couple of quarters, but demand I think is okay, and now that we have the new model we’ll be able to start to take advantage of the market conditions.
Tobey Summer – SunTrust: Thanks Bill. One last question and I’ll get back in the queue. Could you maybe point out what you consider to be the single-biggest change in the business model?
William Grubbs: Yes, so we had very independent dedicated teams for each specialty within locum tenens, and as a result they owned their own resources. So if one specialty wasn’t busy at any given time, they still owned their own resources and they went out and tried to build a business based on it. We’ve now pulled away those resources and formed kind of a joint support organization, recruitment and fulfillment, behind the specialties where we can redirect resources where we see fit and where we see the demand, so it gives us more flexibility to move resources into those specialties where we see the activity. We’ve also—they kind of sold and fulfilled themselves, the consultants within each specialty, and we’ve made investments into dedicated salespeople that will go out there and sell our full suite of specialty locum tenens services across. So it’s a sales play as well as a more flexible fulfillment organization.
Tobey Summer – SunTrust: Thank you very much.
Operator: Our next question is from AJ Rice with UBS. Go ahead, your line is open.
Brandon Fazio – UBS: Hi, this is Brandon Fazio for AJ. A couple questions. Just maybe walk us through where you are in the turnaround in the core business, some of the big expense items that you’re focusing on that will take time, but just where you’re at on some on those. And then on MSN, I’m assuming you’re on track to get most of those $12 million to $14 million at the end of the year, but any update there would be appreciated. Thank you.
William Grubbs: Yes, so as we’ve mentioned, we are on track for the synergies out of the MSN acquisition. We got $2 million of those in the third quarter. We’ll get a little bit in the fourth quarter and probably the rest of it by the end of Q1 next year. I’m assuming what you mean by the core business is we talked about it when we were out doing investor calls that there will be a second phase after the MSN integration is complete where we’re looking at consolidating a lot of our corporate functions that have historically been kind of disbursed throughout the different businesses, and we expect to get some cost synergies or some cost improvements and some efficiencies out of combining finance teams and IT teams and HR teams that have historically been run by the independent businesses. That won’t even kick off until next year after the integration of MSN is complete, so we’ll start to see some of those trickle in throughout 2015. You have any more clarity on that, Bill?
William Burns: Yes, I would just say there’s a first step to centralizing in order to take the costs out, and that requires some standardization across the different businesses, so we’ve had some different processes, different providers used in payroll, for example. So looking at trying to get commonality across our businesses is a first step in this, and then as Bill mentioned, we have to make some technology changes to get on a common platform. That’s the other enabler to getting to the synergies in the phase 2 wave.
Brandon Fazio – UBS: And just a follow-up, could you repeat some of the MSP penetration numbers? You guys were going pretty fast there in the opening comments. Wonder if you could give a couple of those numbers again. I’d appreciate it.
William Grubbs: Yes, so I’ll give a little more color on the MSPs overall. Our MSP revenues in the quarter were up 15% year-over-year, so we’re seeing pretty good traction and that’s a combination of general increase in demand, but also the fact that we’ve expanded our services. So at 16 of our MSPs, we’ve expanded services into per diem, allied and locums that historically we had not had there, so I feel pretty good about the fact that our MSPs have been open to looking at new service lines and expanding the services. We also had some new wins at the end of last year, the beginning of this year that have also started to kick in, but most of the eight new wins that we’ve had are still—I think four of them are still not implemented. Two of them are in the process of being implemented; a couple more won’t be implemented until the beginning of next year. So we have some good momentum on new MSPs that will kick in. I talked about two fairly large ones, one we expect to be about $15 million worth of revenue, and one that should be about $10 million of revenue, which is well above our average for an MSP. Two of those, one is just now starting to be implemented and the other one won’t be implemented until next year. So we feel pretty good about our momentum on our MSPs overall.
Brandon Fazio – UBS: And are these multi-service as well, or are they mostly nurse or locum tenens or mix?
William Grubbs: It’s a mix between them. It’s a mix between them overall, but more and more of them are now starting to see our multi-service line and not just travel nursing, which is where they usually start.
Brandon Fazio – UBS: Great, thank you.
Operator: Our next question is from Gary Taylor with Citibank. Go ahead, your line is open.
Gary Taylor – Citibank: Hi, good morning. Just wondered if you could walk us through big picture – you know, when we look at big picture, we see leaps for the for-profit hospitals volumes are improving, obviously your order book is up substantially year-over-year, the employment environment is improving, unemployment is declining, so presumably your ability to continue to source supply is improving. So as we just kind of play that forward and we look at still that really sizeable difference between orders and bookings, although obviously bookings have been increasing nicely, is this still purely a supply issue today or is there something else impacting the ability to convert those open orders into bookings?
William Grubbs: It’s absolutely supply at this point. We have our salespeople redirected to go after business in a different way now. We’re looking more for EMR projects and MSP projects and preferred relationships. Just getting more orders out of the marketplace isn’t going to do us any favors at this point. Our orders are up about 280% year-over-year from the same period they were last year, so it’s about supply. We’ve invested—our travel nurse and allied business is up about 20% in recruiters this year. About half of those are already in production, half of them are still in training. We’ve made some other initiatives in social media and other programs to increase our candidate flow, and as I mentioned at least in our core business, the old Cross Country business – again, I don’t have the numbers for MSN – our candidate applications are up 80% year-over-year. So it is very much candidate-driven right now in the marketplace.
Gary Taylor – Citibank: And is that primarily an economic issue, do you think, versus previous cycles?
William Grubbs: What do you mean?
Gary Taylor – Citibank: Well, it seems like—you know, generally my thought was as we see unemployment declining, general economic conditions improving, the ability to source and recruit for temporary positions generally seems to improve. It just seems like that’s maybe happening a little slower this cycle. It seems like the disconnect between the increased order demand and what seems to be available on the supply just seems a little historically wide, so I’m just trying to—
William Grubbs: Yes, that may be true. I don’t know. You have to remember, this huge increase in demand has only been for a couple of quarters now. We started to see it really in the April time frame, and it’s accelerated throughout Q2 and accelerated even more through Q3. So it takes a little while for the candidates to kind of catch up with the market, but with unemployment below 6% now and people seeing the high demand, I think we’re seeing more people feel comfortable to come into at least the travel nursing bit and take that big step. So we are seeing it. The other factor that is actually helping demand is that the number of nurses that are taking the nursing licensing exam has more than doubled in the last 10 years, which means that we have a lot of nurses in their late 20s and early 30s, which tend to be the ones that want to be travel nurses and which is where the biggest demand is right now. So although it is a supply constrained environment, we’ve been able to increase our applications by 80%, so I feel that pretty good that although it’s still supply constrained and our focus is predominantly on applications right now and new candidates, I still feel pretty good about our ability to grow and fill more of these jobs.
Gary Taylor – Citibank: Thanks. Just a couple more. How do you feel about G&A leverage moving forward? You’ve exhibited some nice G&A leverage both before and after your latest transaction, but obviously you’ve talked about adding some infrastructure, adding recruiters to deal with the increased demand. So when you look at the next couple years, do you still think G&A is part of getting to your EBITDA margin target, or should G&A leverage be leveling out here?
William Grubbs: No, adding recruiters and revenue-generating producers as we grow – sure, that eats up some of the growth, but we still get pretty good leverage out of growth, plus the other part of us getting to 8%, there’s several things that will get us to the 8% EBITDA. Part of that is growth and getting leverage out of our SG&A; part of it is this efficiency element of combining our corporate functions that we talked about a little bit earlier, that we believe is a big part of getting there as well. In fact, this quarter we would have had significantly higher leverage from the growth we got, except we got hit by a couple of things. We had the payroll reset by converting the MSN employees over to our payroll, and that hit us quite a bit. We had over $1 million of hits to our gross profit in this quarter that we would have had a blow away quarter from an adjusted EBITDA standpoint if we hadn’t been hit by over $1 million of these kind of unusual costs this quarter. So I feel pretty good that we’re going to be able to get leverage as we grow going forward, even though we will have to add resources to grow. That won’t eat up the bulk of the growth.
Gary Taylor – Citibank: Great. Last question – I don’t recall if you had given MSP as a percent of total revenues earlier on the call.
William Grubbs: Yes, we did. MSP as a percent of total revenue was 27%, and it’s 35% of our nurse and allied segment.
Gary Taylor – Citibank: Okay, great. Thank you.
Operator: Our next question is from Jon Evans with JWEST LLC. Go ahead, your line is open.
Jon Evans – JWEST LLC: Can you just help us understand—and I understand this isn’t going to be linear, but how do you see maybe over the next 18 to 24 months the margin progression improving? Obviously you’re doing a lot of the right things to improve that – demand is increasing, and you have a lot of tailwinds. But can you kind of help us understand how you think about that progression over the next 18 to 24 months?
William Grubbs: It’s hard to predict. I mean, we’ve had seven quarters in a row of increased bill writes and increased bill pay spreads, because we’ve been going at this for quite a while. So it’s almost two full years of improvements every single quarter, so I’m not surprised it slowed down a little bit, even though demand is pretty high right now, because we were kind of ahead of this curve. I’m not sure—I don’t know, Bill, if we have a metric around that.
William Burns: We don’t, and at the gross profit level, obviously, we’ve got certain costs between revenue and gross profit that are beyond the pay rate that we’ll continue to try to manage efficiently – professional liability, our housing and whatnot will help to increase those margins over time. I think if your question was pointed to the EBITDA margin expansion, as we’ve talked about, it’s about consistent, steady progression. We don’t envision major step changes here because we’re going to be very thoughtful about how we execute on these things, and to the earlier point, I think the G&A remains one of our top levers within getting to the adjusted EBITDA margins we’ve talked about.
William Grubbs: Yes, so the only other data point we’ve given when we’ve now given guidance for Q4, and we did say we expect to be north of 5% adjusted EBITDA in the fourth quarter of 2015, so you can almost extrapolate from our fourth quarter guidance as to how we’ll slowly progress throughout all of 2015 and get to something north of 5% the same quarter next year.
Jon Evans – JWEST LLC: Great, and then may I just ask you one last question? So normal seasonality is for the fourth quarter normally to slow down and Q1 to be slower, too. You’re guiding for a better margin sequentially. Do you have any insights into Q1? Does it continue to grow, or is that just depending upon what volumes are?
William Grubbs: Well, we’re not going to give guidance for Q1 yet, but normally we have a sequential decline, I think, from Q3 to Q4 because of holidays and the end of the year, and people take time off and all that kind of thing. We usually have a sequential increase, I believe, from Q4 to Q1—
William Burns: Correct.
William Grubbs: --certainly in our nurse and allied business, partly because the flu season tends to hit towards the end of December and into January and February. So sequentially, I think we’ll have revenue increase from Q4 to Q1 if the normal trends hold, but we also have payroll resets for our employees. I’m not going to get into Q1 guidance at this point.
Jon Evans – JWEST LLC: Okay, thank you for your time and nice job.
William Grubbs: Okay, thank you, Jon.
Operator: We’re showing no additional questions, but again as a reminder, star one if you’d like to ask a question.
William Grubbs: Okay, at least the Q&A worked this time around. I thank all of you for joining us and look forward to updating you with our fourth quarter and full-year results in early March. Thank you.
Operator: Thank you, that does conclude the call. A replay of today’s conference will be available through November 20. You may access the replay by dialing 1-800-395-7443 or 1-203-369-3271. Please use the passcode of 2014. Thank you for joining. You may now disconnect.